Operator: Welcome to 2020 Bulkers Q2 2025 Presentation. [Operator Instructions] This call is being recorded. I will now turn the call over to CEO, Lars-Christian Svensen. Please begin.
Lars-Christian Svensen: Thank you, operator. Welcome to the Q2 2025 Conference Call for 2020 Bulkers. My name is Lars-Christian Svensen, and I'm joined here today by our CFO, Vidar Hasund. Before we begin the presentation, I would like to remind you that we will be discussing matters that are forward-looking. These statements reflect the company's current views regarding future events and are subject to risks and uncertainties. Actual results may differ materially from those anticipated. And with that, I will now proceed with the highlights of the quarter. We reported a net profit of $5.8 million and an EBITDA of $9.6 million. Earnings per share was $0.25 for the second quarter. The gross time charter equivalent earnings for the quarter were approximately $29,700 per day, including gains on realized forward trade agreements. We declared a total of $0.37 in dividends for the months of April until June 2025. The dry docks for Bulk Sao Paulo and Bulk Santos were completed at a total cost of $2.6 million, which completes the company's dry dock commitments. We also realized a gain on FFA of $1.4 million for Q2 2025. In subsequent events, we entered into hedging transactions through FFAs, securing an average fixed rate of approximately $33,700 per day for 2 of our 6 vessels from 1st of August until 31st of December 2025. We announced this morning an achieved time charter equivalent of about $31,700 per day and a dividend payout of $0.15 per share for the month of July. And with that, I will now pass the floor to Vidar.
Vidar Hasund: Thank you, Lars-Christian. 2020 Bulkers reports a net profit of $5.8 million and earnings per share of $0.25 for the second quarter of 2025. Operating profit was $7.2 million and EBITDA was $9.6 million for the quarter. Operating revenues and other income were $14.7 million for the second quarter. The average time charter equivalent rate was approximately $29,700 per day gross, including realized gains on forward freight agreements. Vessel operating expenses were $3.8 million, and the average operating expenses per ship per day were approximately $7,000 in the second quarter. G&A for the quarter was $1 million. 2020 Bulkers recognized approximately $0.4 million in management fee recorded as other operating income in the financial statements. Interest expenses were $1.9 million for the quarter. Shareholders' equity was $149.7 million at the end of the quarter. Interest-bearing debt was $112.5 million at the end of the second quarter and is non-amortizing until maturity in April 2029. Cash flow from operations was $3.8 million for the quarter, net of $2 million paid for dry docking. Cash and cash equivalents were $14.6 million at the end of the quarter. The company declared total dividends to shareholders of $0.37 per share for the months of April, May and June 2025. That completes the financial section. And now back to you, Lars-Christian.
Lars-Christian Svensen: Thank you, Vidar. 2020 bulkers have 6 scrubber-fitted Newcastlemaxes with an average age of about 5 years. All vessels are time chartered out on index-linked period contracts to solid counterparts. At any given time, we have the option to convert these vessels from index-linked to fixed rates using the forward FFA curve as a price metric. This structure has been an integral part of the company's commercial strategy, which has led us to a net profit every quarter since inception in 2019. Not only have they been profitable, but we have also paid out dividends to the shareholders in 62 consecutive months, which equals 154% of the total paid-in capital. We also have the industry's lowest cash breakeven, which I will elaborate on in the next slide. With our cash breakeven of $11,500 per day for the entire fleet, we like to view the company as bulletproof. Due to our vessels superior intake and speed design compared to a standard Capesize vessel, we only need the Baltic Capesize Index to be above $7,500 a day to make money. As you can see from the historical market graph with the current company structure, 2020 Bulkers will generate a profit and dividend capacity in almost any market. We take pride in our low cash breakeven, but even more pride with our structure, linking it to a healthy dividend potential. If the Baltic Capesize Index is $20,000 per day, we will yield 12%. If the Baltic Capesize Index is $30,000 a day, the company will yield about 22%. And when the Baltic Capesize Index is $40,000 a day, 2020 Bulkers will yield about 32%. Now let's move over to the market section and where we are as we have entered the second half of the year. The Baltic Capesize Index is currently higher than the average from 2015 to 2024 and also higher than in '23 and '24, respectively, during the same period. The largest drivers have been increased bauxite exports from West Africa to China, but also strong iron ore exports from Brazil to China. Both legs are long-haul routes, which has provided a healthy market level and increased ton miles. The ton-mile story continues to move in the right direction after a significant drop at the end of Q4 2024. Ton mile in Q2 '25 for Capesize was close to the record period in Q2 '24 with a marginal decrease of 1.3%. Bauxite from Guinea has surpassed positive expectations every single month and was up 27% year-over-year. Iron ore was up 1%, while coal was down 14% year-over-year. Chinese total imports were up 3% and iron ore exports from Brazil increased by 4% year-over-year. In Q4 2024, we saw a decline in coal transported on Capesize and Newcastlemax, which led to a weaker freight rates. Even though we're still not close to transport the pre-Q4 '24 coal volumes on the larger sizes, we have seen more coal come back on the Capes and Newcastlemaxes in the last quarter. This is due to more activity on the grain trade for the Panamaxes, which has left more coal for the Capes and Newcastlemaxes. We also see that for the first time in history, more bauxite is transported on the larger sizes than coal, which marks an important shift in trade dynamics. China's appetite for high-grade iron ore has exceeded even last year's record import numbers with a 4% increase year-over-year. Strong exports from the Atlantic over the summer suggest that we have entered the iron ore season earlier than in previous years. Chinese iron ore inventories are down approximately 10% year-over-year, which indicates a healthy iron ore demand scenario. It's also worth mentioning that India will purchase 10 million tonnes of iron ore from Brazil in 2025, which takes the country one step further to becoming a net importer of the commodity, which gives us yet another front haul leg to stand on for the larger sizes. In the previous slide, we discussed short-term iron ore demand, which showed increased demand and decreasing Chinese iron ore stockpiles. Taking a deeper dive into the long-term developments, we note that domestic iron ore production was down 3% year-over-year in '24 and 3% year-to-date in '25. This may be another signal that Chinese domestic iron ore production is becoming less economical and reduced due to its low Fe content estimated at around 20%. High-grade iron ore often with an Fe content of 62% or higher obtained from Brazil and other destinations is preferred. This aligns with the bottom right graph, which shows that Brazilian iron ore has been taking a larger market share in China over time, which is naturally positive for ton mile. On the topic of high-grade iron ore, the first volumes from the Simandou mine in Guinea are expected to be exported in November '25 according to latest updates. Over a 24-month ramp-up phase, the mine is targeting 120 million tonnes of high-grade iron ore per annum for the market. With the additional Vale capacity increase by 2026, we expect a total of 170 million tonnes of high-grade iron ore from the Atlantic, most of which will be exported to China. As shown in the right graph, comparing these volumes to the record low order book, the supply story strengthens further. The bauxite volumes have been extraordinary so far this year, a 27% increase in ton mile year-over-year and the world seaborne bauxite trade has been adjusted up another 15% since the second quarter in 2025. As communicated in previous reports, we believe this commodity is and will continue to be a driving force in Capesize and Newcastlemax ton mile and increased freight rates in the coming years. We continue to highlight the historically low order book. We are at a 25-year record low, standing at 9.4% of the total existing Capesize fleet. Active shipyards are down 60% from the peak in 2008, making it challenging to build any meaningful fleet capacity that could disrupt the favorable supply dynamics over the next few years. Asset prices remain at a strong level, and we believe the prices will remain high due to the limited yard capacity and few modern Capesize Newcastlemax tonnage available comparing to the total fleet. The visibility of the limited vessel supply capacity remains, and we continue to thank other shipping segments for the newbuilding additions, which makes it harder to find available shipyards building Capes and Newcastlemaxes. We still see a significant increase in dry docks due to mandatory special surveys required for merchant vessels every 5 years. Vessels delivered in 2010 account for 10% of the total Capesize fleet and will need to undergo their 15-year special survey in 2025. Additionally, there will be 5- and 10-year special surveys, meaning approximately 23% of the total Capesize Newcastlemax fleet will be competing for dry dock space this year with similar numbers to be expected for 2026. We estimate a total of 1.3% to 1.4% additional off-hire time for the total fleet due to dry docks alone in 2025 and '26, not factoring in potential congestion and waiting time. Thank you. And I will now pass the floor back to the operator and welcome any questions that you might have.
Operator: [Operator Instructions] Does not seem like -- yes, we do have a question here from [indiscernible] from Clarksons Securities.
Unknown Analyst: [Audio Gap] do you have any figures on how much of this has been completed in Q3 and how much is pending for Q4? I mean...
Lars-Christian Svensen: Sorry to interrupt, but you fell out on the first half of the questions. Could you please repeat?
Unknown Analyst: Okay. Yes, I started asking about the dry docking surveys and which is absorbing a lot of capacity, right? So do you have any figures on how much of that has already happened and how much is pending for the, let's say, remaining of the year?
Lars-Christian Svensen: The short answer to that is, no. It's challenging to find exact data on when the various ships goes in for dry docking or regular repair, et cetera. So we have based our figures on the total fleet and the age that the various vessels are. So we are not -- we don't have the overdue of which vessels going into Q1, Q2 or Q3 or Q4. However, obviously, it's challenging to have these timelines postponed more than a couple of months before you have to enter dry dock.
Unknown Analyst: Okay. Fair enough. Question on -- I wan to pick your brain on the Q1 [ FFA ] terms, basically, I mean it's about, well, 16,000 now, I guess, Q1 next year, which historically is a relatively strong level, right? So -- maybe what's your thoughts on that? Could Simandou already come in and helps with the weakness? Or is it -- do you think there's any further upside to that, that [indiscernible] into Q1?
Lars-Christian Svensen: Yes. Good question. We have a couple of interesting aspects coming into Q1 this year, which we saw also -- sorry, in '26, which we also saw Q1 this year with the bauxite volumes being very, very strong. Q1 settled at $13,000 this year. But with the add-on from Simandou, we will obviously have to wait and see how much capacity they're able to put on stream from November into Q1. But if the bauxite volumes continue and if Brazil is experiencing a dry season again, I think it's dangerous to be short in Q1 with the big drivers that we see in the market today. But it's the reason why it's priced at $17,000 today. The expectations are high, but I also think the volumes will follow through to some extent. So when we decide to push the button and try and secure some cover for that period, I still think it's a little bit early, and we will need to see if the market continue to impress us throughout the year. [Audio Gap]
Operator: If there are no further questions, then thank you very much for calling in, and we look forward to speak to you again the next quarter.